Operator: Good day, ladies and gentlemen and welcome to the Campbell Soup Fourth Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder, this conference call is being recorded. I'd now like to introduce to your host for today's conference, Jennifer Driscoll, Vice President Investor Relations. Please go ahead. 
Jennifer Driscoll: Thanks, Kate and good morning everyone. Welcome to the fourth quarter and fiscal year 2014 earnings call and webcast for Campbell Soup Company. With me here in New Jersey today are Denise Morrison, President and CEO; Anthony DiSilvestro, our Chief Financial Officer; and Anna Choi, Senior Manager of Investor Relations.  I am going to start things of with a few reminders including items impacting comparability and our quarterly earnings days for fiscal 2015. Denise will follow me with her perspective on the quarter of the year and our plan through fiscal 2015. Anthony will then discuss our financial results for the quarter and full year, finishing with our expectations for fiscal 2015 and after that we will take your questions.  As usual, we've created slides to accompany our earnings presentation. You will find the slides posted on our website this morning at investor.campbellsoupcompany.com and on our IR app which is available through Google or Apple. Please keep in mind that our call is open to members of the media who are participating in listen-only mode.  Today’s presentation includes forward-looking statements, which reflects Campbell’s current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates, which could be inaccurate and are subject to inherent risks.  Please refer to slide three in the presentation or to Campbell’s most recent 10-K and SEC filings for a list of factors that could cause our actual results to vary materially from those anticipated in any forward-looking statements. Now I would like to remind you about items impacting comparability. As we said in this morning’s news release, in the fourth quarter of fiscal 2014 we recorded $21 million of pre-tax restructuring charges and restructuring related costs to improve our supply chain efficiency in Australia, to reduce overhead across the organization and for previously announced initiatives. We also recorded an additional 4 million pre-tax settlement charge associated with the US pension plan. Last year in the fourth quarter we recorded $30 million of pre-tax restructuring charges and restructuring related costs to improve our US supply chain and structure, to expand assets to manufacturing and distribution capabilities in Mexico, to improve the Pepperidge Farm supply chain and reduce overhead in North America. Our comparisons in fiscal 2014 with fiscal 2013 to exclude previously announced items as shown on slide four. So now let me remind you that we will use non-GAAP measures to enhance our explanations. We’ve provided a reconciliation of these measures to the most directly comparable GAAP measure as appendix to the slides to accompany our presentation. Because the guidance for fiscal 2015 is on a 52 week versus 52 weeks, we show the estimated impact of the extra week in fiscal 2014 on sales and earnings as well. These slides along with our earnings release and selected quarterly and annual financials also can be found on our website which is available online or on your mobile device with the Campbell IR app. Last, please mark your calendars for our planned fiscal 2015 earnings dates shown on slide six. Like this quarter, the days are a little later than usual due to the 53rd week which you will be hearing a lot on this call. November 25 is when we plan to report first quarter, the next three earnings dates are February 25 of 2015, May 22 of 2015, and September 4, of 2015. With that let me turn the call over to Denise.
Denise Morrison: Thank you Jennifer and good morning to everyone. Welcome to our fourth quarter earnings call. At our investor day in July, I told you that I remain confident that our strategy to reshape Campbell by strengthening our core business and expanding in to faster growing spaces is the right course for our company, and I also know that it will take more time than we originally anticipated to achieve our long-term growth targets. Our industry is now in a period of profound change and challenge, and there has been a meaningful decline in the performance of the packaged food sector. Sources like the economic environment, the transformation of consumers’ food preferences with regard to health and wellness and their demand for greater transparency, the powerful social and demographic changes and the rise of e-commerce are all driving significant changes in consumer behavior with respect to food. With this as background, today I will focus most of my remarks on our performance for full year 2014 and our expectations for fiscal 2015. But first, I will briefly comment on our fourth quarter results. Our fourth quarter results benefited from the extra week in the fiscal year, which was a significant driver in the quarter, as we delivered 7% sales growth and double digit growth in adjusted EBIT and EPS. Organic sales in the quarter decreased 2%, as our core business continued to under perform in a challenging consumer environment. Turning to our full year results, in 2014 including the 53 week and the benefit of acquisitions, Campbell delivered growth in both sales and adjusted earnings. We were encouraged by the performance of the businesses we acquired in the last two fiscal years, as part of our strategy to reshape Campbell’s growth trajectory, but we were not satisfied with the performance of our core business and our organic sales results for the year reflected the extremely difficult market conditions which were impacting the food business. Consistent with our most recent guidance, sales from continuing operations increased 3% to nearly $8.3 billion, benefiting from acquisitions and an extra week in the fiscal year. Organic sales declined 1%. Adjusted earnings before interests and taxes from continuing operations grew 4% to nearly $1.3 billion and adjusted earnings per share from continuing operations 2% to $2.53. In US Simple Meals, we delivered growth in sauces with higher sales of Prego pasta sauces and Campbell’s dinner sauces. But after growing 5% in fiscal 2013, sales declined in US soup, as organic growth in Swanson broth which increased 8% was more than offset by declines in ready-to-serve and condense soups amid softer consumption. In Global Baking and Snacking, the acquisition of Kelsen Group contributed a $193 million in sales. We had modest growth in Pepperidge Farm, including continued gains in our Goldfish franchise and fresh bakery. We had solid growth in Indonesia. As we expected, sales declined in our business in Australia. As we outlined at our investor day in July, we have initiated turnaround plans to reinvigorate both our Australian business and your US beverages business which also declined for the year. Overall we are embracing change and continuing to diversify our portfolio. We are building a presence in packaged fresh and other faster growing spaces in strategically important geographies outside of our developed markets and in channels that will make our products available everywhere consumer shops. In fiscal 2014, we achieved some key milestones in the execution of these strategies. We completed our acquisition of Kelsen Group, which is given us a valuable growth platform with 40% of its sales of baked snacks in China and Hong Kong. We invested in our first marketing programs to build the Bolthouse Farms brand and expanded the distribution of Bolthouse products driving solid sales growth and share gains of super-premium beverages in measured channels. Internationally, we divested our slow-growing European simple meals business to focus on growth opportunities in Asia and Latin America, and expanded our sweet biscuit business in Indonesia, a key developing market. In January, we transitioned to a new US network of distributors for our single-serve beverages. Overtime we expect this network to drive immediate consumption growth for both our V8 and Bolthouse Farms brands. We increased our digital and e-commerce capabilities to enhance our connection with consumers, who are engaging with brands in new ways. We continue to drive consumer focused innovation with new products equaling 11% of lists sales on a rolling three basis. Across our portfolio, we reduced overhead costs, which is critical to funding our growth. Finally, we reflected on our company’s purpose which we have expressed in seven words, real food that matters for life’s moments. This will be the compass that guards our decision as we aspire to become a $10 billion company within the next five years. It affirms our connections to the core values that have inspired trust in Campbell in the past and it bridges us to the priorities of new generations. Now that 2014 is behind us, I want to give you a brief overview of our plans for fiscal 2015. We’ll take further actions to drive growth in our important US soup portfolio, and improve category performance. To do this, we will continue to elevate quality, increase our brand building, and drive more innovation, including our first Campbell’s organic soups. We intend to expand in the Premium Soup segment, strengthen ready-to-serve soups, and grow our number one position in condense soups and broths. We will drive growth in Pepperidge Farm by executing against all the drivers of demand, including increased innovation, particularly in the back half of the year. We will revitalize our shelf-stable US beverage business by leveraging innovation and the powerful equities of the V8 brand in vegetable nutrition to capitalize on the juicing trend with affordable juicing. We will continue to stabilize our Australian business and rejuvenate sales of Arnott’s biscuits in that key market. In faster growing spaces, our acquisitions of Bolthouse Farms, Plum and Kelsen have diversified our nearly $8.3 billion portfolio as we continue to our shift centre of gravity. We expect all three of these businesses to grow the top line, as we expand distribution. To continue to drive our expansion into faster growing spaces, we will focus on four key platforms under our long-term strategy. Number one, accelerating break-through innovation, including continued expansion in Campbell’s dinner sauces and plans this year to extend the V8 brand to adult on-the-go nutrition protein bars and shakes. Across our portfolio, will on more than 200 new products, as we continue to respond to the evolving tastes and needs of consumers. Number two, becoming a leader in packaged fresh foods, a growing $18.6 billion category in which Bolthouse Farms has given us a solid foundation, and is now expanding with the launch of Bolthouse Farms Kids, an innovation portfolio of healthy snacks and beverages for children. Number three, expanding and developing markets in Asia and Latin America, building on our footholds in China, Indonesia, Malaysia and Mexico; and finally, increasing the availability of all of our products in all channels, including immediate consumption channels and e-commerce. We will fund our growth by aggressively managing our cost and margin. Furthermore, will become a high-performance company as we continue to drive agile decision-making, own our results and to track and retain world-class talent to further diversified our team. In fiscal 2015, we expect to deliver growth of 1% to 2% of sales, and between 0% to 2%. Adjusted EBIT and adjusted EPS from continuing operations on a 52-week basis. This guidance reflects the impact of some significant headwinds that will affect year-over-year comparisons. Importantly, while we will continue to invest in our platforms for long-term growth, we are prepared to take additional actions if these headwinds accelerate. It is important to note that our growth in fiscal 2015 won’t be evenly distributed across quarters. Our first quarter comparison will be favorable, because in fiscal 2014 we experienced retailer inventory movements and later Thanksgiving holiday timing that pushed sales in the second quarter. We expect a larger amount of holiday sales this year to shift back to the first quarter, and as a result, looking at our business performance on a first half basis versus a quarterly basis will be more meaningful. We continue to believe that our long-term growth targets 3% to 4% in organic sales, 4% to 6% in EBIT, and 5% to 7% in EPS are achievable. However, we recognize as we said at our investor day that further portfolio reconfiguration, including smart external development may be required to deliver and sustain growth at this level. We have meaningfully change the composition of our portfolio and are following through our commitment to diversify our business in to faster growing spaces. But we know it will take some time to realize with full promise of our new platforms, and we know that we stand at a critical juncture. In closing, I believe it is essential to balance optimism with realism. Consumers are changing in profound ways. At Campbell we’re putting the consumer first and adapting quickly to the new normal of our world. While remaining true to our core beliefs, we have opened our minds to new ways of thinking about our business. To win in the long-term, food companies will have to embrace change and lead change, and we’re doing this at Campbell. I look forward to answering your questions in a few minutes, and I will now turn the call over to Anthony DiSilvestro.
Anthony DiSilvestro: Good morning and thanks Denise. I will walk through our fourth quarter results and segment highlights, followed by look a at our fiscal year results. As Jennifer indicated, both our fourth quarter and fiscal year results included extra week compared to the prior year. We’ll wrap up with a look at our fiscal 2015 guidance, which will be presented on a 52 to 52-week basis. As usual, my discussion of results will exclude items impacting comparability which are detailed in our non-GAAP reconciliations. For the fourth quarter, we reported net sales from continuing operations of 1.852 billion, an increase of 7% versus the year ago quarter. These sales results include a seven-point benefit from the 53rd week and a three-point contribution from our Kelsen and Plum acquisitions. Excluding the 53rd week acquisitions and a negative impact of currency, organic net sales decreased by 2%, driven by declines in our US Simple Meals and Global Baking and Snacking segment, probably offset by gains in Bolthouse and Foodservice. Adjusted EBIT increase 25% to 259 million, the increase was primarily due to lower administrative expenses and the benefit of the 53rd week probably offset by a lower gross margin percentage. Adjusted earnings per share were $0.49, a 14% increase versus the prior year, reflecting an EBIT growth probably offset by a higher effective tax rate. The next slide shows a composition of our sales performance. As you can see, there was no impact from volume mix and rising. The organic sales decrease of two points reflects increased promotional spending, primarily related to higher rates of spending to remain competitive in our Global Baking and Snacking segment. Unfavorable currency had a one-point impact due to the Australian and Canadian dollars weakening against the US dollar. The acquisition of Kelsen and seven additional weeks of Plum added three points. The benefit of the 53rd week added seven points to sales growth. Our adjusted growth margin percentage declined by 240 basis points to 34.3%. Of the decline, 210 basis points came from the base business and 30 basis points was the impact of acquisitions. Excluding acquisitions, the decline in gross margin was primarily due to increased supply chain costs, cost inflation and higher promotional spending probably offset by productivity improvement. To give this some context, the fourth quarter is a relatively small quarter for us and the increase in supply chain costs negatively impacted gross margins by about two points. This included the impact of fixed cost absorption compared to last year and mark-to-market losses on open commodity contracts. Importantly, going forward, we estimate that our gross margin percentage for the full-year of 2015 will be comparable to this year. Marketing and selling expenses for the quarter decreased by $2 million to 189 million. The decrease was primarily due to lower advertising and consumer promotion expenses, lower selling expenses, and the impact of currency probably offset by the impact of acquisitions. [A&C] for the quarter and the year fell 2%, while total marketing support, including trade spending rose for both period. Administrative expenses decreased 46 million to 149 million, primarily due to lower incentive composition costs and cost savings from recent restructuring initiatives. Not let’s look at below the line items; for the quarter net interest expense of 30 million was comparable to the prior year quarter as a lower debt balance and lower interest rates were offset by the impact of the additional week. The adjusted tax rate for the quarter was 33.2%, an increase of 8.5 points versus the prior year. The 2013 rate was significantly lower, benefiting from lower taxes and [forward] earnings. Reflecting the impact of the higher tax rate, both adjusted earnings and earnings per share from continuing operations increased by 14%. Fourth quarter segment sales results and the organic growth rates are shown on the next slide. The Global Baking and Snacking segment, our largest segment by sales in the quarter delivered 628 million in sales, including a 32 million contribution from Kelsen. Organic sales declined 2% versus the prior year, we declines at Pepperidge Farm and Arnott’s. The sales decline at Pepperidge Farm was driven by increased promotional spending probably offset by volume gains. Sales of cookies and crackers were comparable to prior year gains in Goldfish snack crackers offset by declines in Pepperidge Farm adult cracker varieties. Sales of frozen and other products declined, while sales of fresh bakery products increased, driven by volume gains in breads and rolls. The sales decrease at Arnott’s was due to weakness in Australia primarily in savory and sweet varieties probably offset by continued strong sales growth in Indonesia. Our US Simple Meals segment delivered 518 million in sales, including 32 million of sales from Plum. Organic sales decreased 5% versus the prior year, within this segment; US soup organic sales decreased 10%, including seven point declines due to movement in retailer inventories. As you may recall, we ended the third quarter with inventory levels higher than the prior year due to the later timing of the Easter holiday. As we ended fiscal 2014, retailer inventory levels were comparable to year ago. Our consumer takeaway of soup and measured channels was down 3% in the quarter. Organic sales of other simple meals increased by 2%, driven by gains in Campbell’s dinner sauces and Prego pasta sauces. Our Bolthouse Farms and Foodservice segment posted 334 million in sales. It was the best performing segment as organic sales increased 4%. Double-digit growth in Bolthouse Farms premium, refrigerated beverages and salad dressings was probably offset by decreases in North America foodservice. International simple meals and beverages delivered 188 million in sales. Organic sales were comparable to the prior year, as declines in Latin America and Asia Pacific regions were probably offset by gains in Canada. US beverages delivered sales of 184 million, organic sales decreased 1% due to declines in V8 V-Fusion, Crowley offset by gains in V8 Splash beverages, and V8 vegetable juice. Excluding the sales decline associated with the continuing transition to our new immediate consumption [round] to market, organic sales would have been up modestly in the quarter. Operating earning’s for US simple meals increased 4% to 114 million. The improvement was primarily due to the 53rd week, and lower administrative and marketing expenses, probably offset by the decline in US soup sales and a lower gross margin percentage. Operating earnings for global baking and snacking increased 17% to 98 million primarily driven by lower administrative expenses in the extra week probably offset by a lower gross margin percentage. The increase reflected earnings growth in Pepperidge Farm and the addition of Kelsen Group’s operating results. Earnings for Arnott’s were comparable to the prior year quarter. Operating earnings for US beverages more than doubled to 43 million. The gain was primarily driven by lower administrative, selling and marketing expenses and the benefit of the 53rd week. Operating earnings within [Bolthouse] and Kelsen foodservice gained 16% to 29 million. The increase was primarily due to lower administrative expenses and the benefit of the 53rd week probably offset by a lower gross margin percentage and higher marketing expenses, as we continue to support the Bolthouse Farms brand. In International simple meals and beverages, operating earnings totaled 21 million, an increase of 50%, primarily due to a higher gross margin percentage driven by productivity improvement and the benefit of the 53rd week. Our full-year results as shown on this chart were consistent with our most recent guidance for sales, EBIT, and EPS. For the year, net sales were up 3%, while organic net sales decreased 1%. Declines in US beverages and International simple meals and beverages were probably offset by gains in the Bolthouse and Foodservice segment. Adjusted EBIT increased 4% on lower administrative expenses, a three point benefit from the 53rd week, and lower marketing expenses, probably offset by a lower gross margin percentage and the organic sales decline. Adjusted earnings per share increased 2% to $2.53, including a $0.08 benefit from the 53rd week. For this fiscal year, sales grew 3% driven by a three-point contribution from acquisitions, and the two point benefit from the 53rd week minus one point each from lower organic sales and unfavorable currency translation. Organic sales decreased 1% as the impact of high promotional spending was probably offset by higher selling prices. Our adjusted gross margin percentage declined by 190 basis points to 35.4%. The decline in gross margin was primarily attributable to cost inflation, higher promotional spend, increased supply chain cost, and unfavorable impact of acquisitions, probably offset by productivity improvement and higher selling prices. The rate increase in cost of goods sold was approximately 4% for the year in line with our estimates, probably offset by productivity savings of 3%. Marketing and selling expenses decreased 1% for 12 million, the change was primarily due to lower advertising and consumer promotion expenses, the impact of currency, lower marketing overhead expenses and lower selling expenses probably offset by the impact of acquisitions. Administrative expenses decreased 15% or 104 million primarily due to lower incentive compensation costs, cost savings from restructuring initiatives and lower pension cost, probably offset by the impact of acquisitions. For this fiscal year, net interest expense decreased 5% or 6 million primarily due to lower average interest rates on our debt portfolio. That adjusted tax rate for this fiscal year was 31.7%, a 1.9 point increase versus the prior year, which benefited from lower taxes on foreign earnings and a favorable settlement of certain US state tax matters. Adjusted earnings and earnings per share from continuing operations increased by 2%. I’ll briefly comment on full-year segment results. In the US Simple Meals segment organic sales were comparable to a strong prior year, which saw sales grow 5%. Within this segment, US soup organic sales decreased 2%, while sales of other simple meals increased by 4%, primarily due to growth in Prego pasta sauces and Campbell’s dinner sauces. Our Global Baking and Snacking segment includes a 193 million contribution from Kelsen. Organic sales were comparable to the prior year, as sales growth in Indonesia and Pepperidge Farm driven by Goldfish were offset by declines in Arnott’s in Australia. Our Bolthouse and Foodservice segment had organic sales growth of 2%, with double-digit gains in Bolthouse Farms, premium, refrigerated beverages, and salad dressings, probably offset by declines in North America food service. Organic sales for International simple meals and beverages decreased by 3%, with declines in Latin America, Canada and the Asia-Pacific region. US beverage organic sales decreased 4% due to sales declines in our V8 V-Fusion multi-served beverages, as well as weakness in our single-serve products, as we continue the transition to our new distribution networks for the immediate consumption channel. Commenting on full-year segment earnings, US simple meals operating earnings decreased 2% to 714 million as a lower gross margin percentage and expenses related to the number 2013, Plum recall were probably offset by lower administrative expenses, low marketing expenses and a benefit of the extra week. Global baking and snacking earnings gained 5% to 332 million. The increase was primarily driven by lower administrative expenses, the acquisition of Kelsen, low marketing expenses and the benefit of the 53rd week probably offset by a lower gross margin percentage and unfavorable impact of currency. The increase reflected growth in Pepperidge Farm and Kelsen Group’s operating results, probably offset by lower earnings in Arnott’s. US beverages operating earnings increased 6% to 127 million, primarily driven by lower administrative and marketing expenses, probably offset by a lower gross margin percentage and low volumes. International simple meals and beverages operating earnings decreased 2% to 106 millions in this fiscal year. The decrease was primarily driven by volume declines and the unfavorable impact of currency probably offset by lower administrative expenses, a higher gross margin percentage and lower selling expenses. On the next slide you can see the sales performance of US soups excluding the estimated impact of the 53rd week. Sales declined 2% compared to the prior year in which soup sales rose 5%. Consumer takeaway measured channels also declined by 2% as soup inventory levels at retailers at year-end were comparable with 2013. For the year, sales for condensed soups decreased 3% driven primarily by declines in eating varieties. Ready-to-serve soup sales declined 6%, with lower sales across the RTS portfolio. Broth had a very strong year with sales increasing by 8%, driven by strong marketing programs, innovations and distribution gains. Year is a look at US wet soup category performance in the past year and our share performance as measured by IRI. For the 52 week period ending August 3, 2014, the category as a whole declined 1.1%. Our sales and measured channels decline 2% with low single-digit declines in condensed and ready-to-serve soups probably offset by high single-digit growth in broth. Campbell had a 59% market share, a decrease of 50 basis points in the period. All other branded players collectively had a share of 28% with private label with at 13%. Cash flow from operations was 899 million compared with 1.19 billion in the prior year. The decline was primarily due to lower cash earnings and taxes paid on the divestiture of the European simple meals business probably offset by low working capital requirements. Capital expenditures of 347 million increased from 336 million a year ago. Net debt decreased by 337 million to 3.783 billion. Now, I’ll talk about our fiscal 2015 guidance. As we’ve stated, fiscal 2014 comprised 53 weeks, which includes one additional week. As shown on the chart, we estimate that the extra week benefited sales by two points, EBIT by three points, and EPS by $0.08 per share. On a 52-week adjusted basis in 2014, we delivered 8.139 billion in sales, 1.244 billion in EBIT, and EPS of $2.45. These 52-week numbers are the base for our fiscal 2015 guidance. As we stated at our recent investor day, while we expect to achieve growth in 2015, we do not expect to achieve our long-term target growth rates. For fiscal 2015, we expect continuing operations to grow sales by 1% to 2%, adjusted EBIT to go grow between 0% and 2%, and EPS to grow 0% to 2%, or $2.45 to $2.50 per share. Turning to solve the key assumptions underlying our guidance, we expect inflation and cost of products sold of approximately 3% to 4%, driven by double-digit increases in dairy, meats and tomatoes. Cost inflation will be mostly offset by estimated productivity gains of 3% as a percentage of cost of products sold. We expect our gross margin percentage to be comparable to last year, as we realize some gains in net pricing and wrap some one-time cost, most notably the Plum recall. The anticipated return of incentive compensation to targeted levels represents of four point headwind at EBIT or approximately $0.09 per share, the majority of which will flow-through our administrative expense line. We expect that the benefit from our restructuring initiatives, including the program initiated in the fourth quarter will probably offset the incentive compensation impact. The effective tax rate is projected to be in the 31% to 32% range comparable to fiscal 2014. This guidance assumes a modest EPS contribution from share repurchases, as we anticipate resuming our strategic share repurchase program in 2015. We forecast capital expenditures to increase by 50 million to approximately 400 million, as we increase funding for capacity expansion project for Goldfish, Bolthouse Farms, aseptic broth and our business in Indonesia. As Denise has already mentioned, given our performance in the first half last year, we expect strong performance in the first quarter and softer performance in the second quarter, which should add up to a first half that’s more consistent with our annual guidance. Thank you. And now I will turn it back to Jennifer. International simple meals and beverages operating earnings decreased 2% to 106 millions in this fiscal year. The decrease was primarily driven by volume declines and the unfavorable impact of currency probably offset by lower administrative expenses, a higher gross margin percentage and lower selling expenses. On the next slide you can see the sales performance of US soups excluding the estimated impact of the 53rd week. Sales declined 2% compared to the prior year in which soup sales rose 5%. Consumer takeaway measured channels also declined by 2% as soup inventory levels at retailers at year-end were comparable with 2013. For the year, sales for condensed soups decreased 3% driven primarily by declines in eating varieties. Ready-to-serve soup sales declined 6%, with lower sales across the RTS portfolio. Broth had a very strong year with sales increasing by 8%, driven by strong marketing programs, innovations and distribution gains. Year is a look at US wet soup category performance in the past year and our share performance as measured by IRI. For the 52 week period ending August 3, 2014, the category as a whole declined 1.1%. Our sales and measured channels decline 2% with low single-digit declines in condensed and ready-to-serve soups probably offset by high single-digit growth in broth. Campbell had a 59% market share, a decrease of 50 basis points in the period. All other branded players collectively had a share of 28% with private label with at 13%. Cash flow from operations was 899 million compared with 1.19 billion in the prior year. The decline was primarily due to lower cash earnings and taxes paid on the divestiture of the European simple meals business probably offset by low working capital requirements. Capital expenditures of 347 million increased from 336 million a year ago. Net debt decreased by 337 million to 3.783 billion. Now, I’ll talk about our fiscal 2015 guidance. As we’ve stated, fiscal 2014 comprised 53 weeks, which includes one additional week. As shown on the chart, we estimate that the extra week benefited sales by two points, EBIT by three points, and EPS by $0.08 per share. On a 52-week adjusted basis in 2014, we delivered 8.139 billion in sales, 1.244 billion in EBIT, and EPS of $2.45. These 52-week numbers are the base for our fiscal 2015 guidance. As we stated at our recent investor day, while we expect to achieve growth in 2015, we do not expect to achieve our long-term target growth rates. For fiscal 2015, we expect continuing operations to grow sales by 1% to 2%, adjusted EBIT to go grow between 0% and 2%, and EPS to grow 0% to 2%, or $2.45 to $2.50 per share. Turning to solve the key assumptions underlying our guidance, we expect inflation and cost of products sold of approximately 3% to 4%, driven by double-digit increases in dairy, meats and tomatoes. Cost inflation will be mostly offset by estimated productivity gains of 3% as a percentage of cost of products sold. We expect our gross margin percentage to be comparable to last year, as we realize some gains in net pricing and wrap some one-time cost, most notably the Plum recall. The anticipated return of incentive compensation to targeted levels represents of four point headwind at EBIT or approximately $0.09 per share, the majority of which will flow-through our administrative expense line. We expect that the benefit from our restructuring initiatives, including the program initiated in the fourth quarter will probably offset the incentive compensation impact. The effective tax rate is projected to be in the 31% to 32% range comparable to fiscal 2014. This guidance assumes a modest EPS contribution from share repurchases, as we anticipate resuming our strategic share repurchase program in 2015. We forecast capital expenditures to increase by 50 million to approximately 400 million, as we increase funding for capacity expansion project for Goldfish, Bolthouse Farms, aseptic broth and our business in Indonesia. As Denise has already mentioned, given our performance in the first half last year, we expect strong performance in the first quarter and softer performance in the second quarter, which should add up to a first half that’s more consistent with our annual guidance. Thank you. And now I will turn it back to Jennifer.
Jennifer Driscoll: Thanks Anthony. At this time will conduct the Q&A session. We would likely to request that our callers limit themselves to a single question. If you have a second question, we invite you to re-enter the queue as we’ll take double dippers after everyone else has had the opportunity to pose a question.
Operator: (Operator Instructions) Our first question comes from the line of John Baumgartner with Wells Fargo. Your line is open.
John Baumgartner - Wells Fargo: Denise just wondering if you could provide an update on the sauces strategy and maybe the products you’re seeing in terms of retailers adopting these dedicated aisle merchandisers, and your expectations for the contribution of sauces to growth in fiscal ’15.
Denise Morrison: Our sauces strategy is to continue to build pace brand. We have on the docket for F ‘15 some innovation and brand building programs. But most of the contribution from sauces will come from the growth in Prego, where we are continuing to expand our white sauces, and also the innovation in our Campbell’s dinner sauces, where we have introduced Skillet and Slow Cooker sauces, and this year, we are introducing Oven sauces, and that platform continues to build. We now have the majority of retailers giving us an extra four foot section in the stores as a destination for these particular sauces. So it’s a very strong and profitable business for us.
Operator: Our first question comes from the line of Andrew Lazar with Barclays. Your line is open.
Andrew Lazar - Barclays: Denise in the prepared remarks, I think you made a comment about remaining committed to investing in the platforms for the long-term, but also having the willingness to take additional actions if industry headwinds accelerate. So just trying to get a sense of what you meant by those additional actions; is that a potential for just to be more thoughtful around marketing in the year, potentially or incremental restructuring or both or things beyond that, then I didn’t mention thank you.
Denise Morrison: I think it’s really important that the company, given the fact that we are still having challenges on our organic sales to continue to invest in these brands and to make sure that we are innovating, and that is going to take the investment that we have in our plans. However, given the volatility in the market place on some of the commodity issues that we’re facing et cetera, we are constantly looking for additional opportunities for cost reduction and management of those margins. So that’s what I was indicating their. We believe that we’ve got it balanced, but quite frankly, if there are surprises we will take extra action to make sure to deliver what we said we’re going to do.
Andrew Lazar - Barclays: Got it. So a little less on marketing side, where I think you have mentioned even at your analyst day that does need to be, continued to be bolstered behind some of the new innovations and then maybe more on the cost side, potentially.
Denise Morrison: Correct. Absolutely.
Operator: Our next question comes from the line of Eric Katzman with Deutsche Bank.
Eric Katzman - Deutsche Bank: Maybe a little bit of a follow-up to Andrew’s question for the long-term. And then I have kind of a detail numbers question. But on the long-term, why wouldn’t and maybe this looks somewhat semantic, but why wouldn’t you change your long-term targets either a little lower, given the environment and the inability to achieve them over the last three years or just say, okay, our long-term targets now include the assumption of M&A to stop.
Denise Morrison: The way we are looking at it Eric is, we need about a point more of sales and two points of EBIT growth to get to the bottom of the range, and when you think about the puts and takes that we’re cycling in F ‘14, that give was about four points of EBIT pressure in F ‘15 with a net impact of about $45 million from supply chain cost and incentive compensation. Without this headwind, EBIT would have been consistent with our long-term targets. So we have line of sight of how to get there. However, we are saying that there may be a call for more M&A to continue to diversify into faster growing spaces for sustainable achievement of those long-term targets.
Eric Katzman - Deutsche Bank: Right. And then Anthony if I could just follow, I don’t understand one thing you said about the fiscal ‘15 assumptions. Now you have already started out by saying that fiscal ‘15 is likely to be less than planned. So if the incentive comp of 45 million is that a portion of what you would have assumed if you had achieve the targets. I’m just surprised that wouldn’t the incentive comp headwinds be lower because you’re already at the start of the year, assuming a less then average year.
Anthony DiSilvestro: Let me kill clarify Eric, what I said is that, our fiscal 2015 growth rate would be lower than our long-term target growth rates. Those growth rates in F ‘15 are more consistent with our internal plans. And the 0% to 2% EBIT and EPS growth includes the negative headwind from returning incentive compensation to target levels, part of which is offset by restructuring benefits from the programs that we recently initiated.
Eric Katzman - Deutsche Bank: But I guess I just don’t understand, if you are starting out the year, knowing that you’re going to be below your long-term plan, and I realize your compositions a function of several plans or several different time periods. Why would you restate or accrue the comp that what I guess is essentially a normal year’s level. Do you understand what I’m saying?
Anthony DiSilvestro: Yes. You must be referring to the multi year programs and the annual plan resets every year, so that certainly goes back to target levels. The way the accruals work on the longer term ones is that you basically adjust to your current expectations, so that going forward, the increment is more consistent or closer to target.
Eric Katzman - Deutsche Bank: Okay, maybe I’ll follow up off-line. I’ll pass up. Thanks.
Operator: Our next question comes from the line of Chris Growe with Stifel. Your line is open.
Chris Growe - Stifel Nicolaus: I just wondered if I can get a little bit more color on the increase supply chain costs. I know the through the year you had those, I think weather in part was a factor. But seems like those continued in the fourth quarter as well. Can you give a little color on that, and does that pressing in your response to Andrew’s question, in part, which you would be targeting if there was some more cost reduction activities.
Anthony DiSilvestro: On the fourth quarter, we had a couple of situations in the supply chain was relatively unique and different than the full-year impacts that we saw around, for example, the Plum recall the impact of the extreme weather on warehousing and distribution costs. What we saw in the fourth quarter is really two things, and they both add up to being about a two point impact on gross margin quarter-over-quarter. The first is the timing of our fixed cost absorption, last year we had some favorability, this year we had some unfavorability rating. It’s a relatively small quarter, we are truing up some of our fixed cost reserves and what we saw was year-on-year negative impact on gross margins. And the second is on our open commodity hedges, so we take forward cover on the majority of our hedge able items, and what happened in the fourth quarter, the underlying prices of those commodities declined and so we had to record a loss on some of those open commodity hedges. So those two things happened in the fourth quarter, and again they are not really kind of a recurring thing which is why I added the comment that looking ahead we do expect 2015 gross margin percentage to be comparable to this year.
Denise Morrison: And Chris, just to build on that. In the fourth quarter last year, we were gearing up on launching Campbell’s Homestyle soup. So that is something that we’re cycling this year.
Chris Growe - Stifel Nicolaus: That’s very helpful. Thank you.
Denise Morrison: The absorption.
Operator: Our next question comes from the line of Alexia Howard with Sanford Bernstein. Your line is open.
Alexia Howard - Sanford Bernstein: Just sticking with the soup category, you’ve launched a wide range of new soups over the past few years, the Go soups, Slow Kettle, Bisques and so on, and yet the categories continues to decline, it seems. What have you learned from those new product launches over the years, and what makes line up for fiscal ‘15 more likely to succeed this time. Thank you.
Denise Morrison: Alexia what we’re doing in the next year is two things, we are improving against our drivers of demand, but we are also investing more in broader platforms to improve total category performance. So each one of the things you listed in and of itself is a single initiative, but when you bundle that into a premium soup platform, we then will be building the expansion of Slow Kettle and the introduction of Campbell’s Organic soup. We’re putting premium soup sections in stores, so that we know that the consumer for these particular product is younger and more affluent, so that gives us the range in value all the way from Condensed soup all the way up to a Premium soup and shelf-stable and then also in chilled, and so focusing on premium soup platform, we believe is a faster growing space for is within the soup category. The second thing we are doing is, Swanson broth is giving us an expansion to a flavor infused platform, which is offering consumers a creative homing soup in meal solutions based on the insight of why I cook? And then, within some of the brands we have platforms like pub-inspired Chunky or building out our Campbell’s Homestyle and Healthy Request soup. So what we’ve really learned is by bundling these into platforms, what we have to do is improve the total category performance, which has been declining,, and if you can do that by bringing new users into category we believe that’s the best opportunity for growth.
Operator: Our next question comes from the line of David Palmer with RBC Capital Markets. Your line is open.
David Palmer - RBC Capital Markets: Just a follow-up on soup for this upcoming year. What sort of year-over-year performance would expect simple meals and soups specifically similar to your overall top line guidance, and where I’m going with this is, your innovation, marketing and renovation plans for this year, how would you characterize them versus ‘14, and what do you think of weather comparisons are they neutral or perhaps negative event for ‘15 as you are thinking ahead. Thanks.
Anthony DiSilvestro: He yes, I would say I don’t want to give a specific forecast for simple meals, but as Denise said, we do expect soup to grow in 2014. We do expect growth from some of our other areas within simple meals. The challenge is that some of these core centre store categories have been sluggish of late, and that’s kind of what’s holding its back. We will flex the marketing to focus against some of the innovation that’s going on, so the launch of Oven sauce and the launch of organic soups, so will flex the marketing within there to do that. We expect pretty significant renovation, I mean Denise talked about 200 new SKUs, a lot of those fit inside the simple meals category. With regards to weather, I would say kind of neutral year-on-year, but don’t really focused too much on that.
Denise Morrison: The only thing I would add is that, we typically plan our innovation at the average in the food business, and so if something performs better than average we get a benefit from that. But if something performs below that we believe that by planning to the average weekend balance out.
Operator: Our next question comes from the line of Bryan Spillane with Bank of America/ Merrill Lynch. Your line is open.
Bryan Spillane - Bank of America/ Merrill Lynch: Maybe a broader question just trying to conceptualize a little bit where we stand or will go going forward in terms of the core business. I guess over the last few years, the challenging environment, the challenges have been really North America and I guess Australia, and it’s been a combination of the economy or a weak consumer wallet and all the things that would drive that. And then we’ve also got change in consumer case, I guess, from my perspective, it seems like early on it was more a weak wallet and less sort of consumer tastes and maybe that’s changed now. So can you just give is a sense for kind of, of those items which ones are really causing the most pressure today, and as you’re going forward, which of those two do you think are the most important in addressing in terms of sort of getting the base to be where it needs in order to get ourselves back to the algorithm.
Denise Morrison: There are several factors, but I’ll talk about two that are on our watch. The first one is the impact of snack, particularly on the recipients, they are about 12% of our shopper base and that’s correlated to about 1% decline in sales. There are about 19% of households in general, based on government data. IRI captures about 12% of them as they do their analysis. And our analysis shows that about 30% of our retail customer base is experiencing greater dollar declines among these households versus their total retail shoppers. So we are continuing to watch that. The second is a shopping pattern of the next generation. We’re watching the fact that 18 to 24-year-olds are not necessarily frequenting stores like their parents. Now, a lot of them live with their parents, so that might explain some of it. But as we dig deeper in it, some of them haven’t even made any trips to either a club store or mass merchandiser in the last year. So making sure that we are engaging this nice generation where they shop and how they are going to be engaging with brands is going to be very, very important. So those are the two things that we think are having a macro impact, there are more.
Bryan Spillane - Bank of America/ Merrill Lynch: But it’s fair to say in the near-term, the longer term thing is getting the millennial I guess other people in the 20s to engage in the category more. But the more specific thing that turned in the near-term, which is simply be that financial pressure of the wallet.
Anthony DiSilvestro: Yes, I would say being the finance guy that that weak wallet has a very significant impact. We’re talking about our core category performance and probably something that we can affect the least, and it’s certainly impacting some of our centre store categories. Unlike the innovation thing we’re doing a lot about innovation. Now, those things are more in our control, we understand where the consumer is going, we can bring new products. Denise talked about dinner sources, we have a new line of [VHUs] as that is more healthy, we have new varieties of Swanson and Chunky and Homestyle and Prego Vista. All those things are addressing kind of where the consumer tastes is evolving. The hardest one for us to get at, obviously, is that weak wallet and the impact on our core categories.
Operator: Our next question comes from the line of Matthew Grainger with Morgan Stanley. Your line is open.
Matthew Grainger - Morgan Stanley: So you’ve talked more recently about pulling back on some of the less productive promotional spending that you’ve seen through the course of the year and shifting these dollars back to advertising, but with promotion about 2% headwind towards sales this quarter. I guess it wasn’t clearly evident in Q4. Were you able to make or have you been able to make these kinds of tactical adjustments you’d hope to make 2 to 3 months ago, or is the competitive environment make it difficult to follow through on this.
Denise Morrison: Actually for F ‘15 we have made course corrections based on our F‘14 results, and we’ve worked with both depths and frequency depending upon the category and the competition we are facing, and obviously for competitive reasons, we don’t disclose the specifics of our promotions, but we have like I said taken up learning and applied it. In general, we aim to keep a total marketing spend, which is a combination of advertising consumer and trade, add about 25% of less sales. But the marketing mix is going to vary depending upon the brand and the category and the competitive set in that category.
Matthew Grainger - Morgan Stanley: And then just to clarify with respect to some of the marketing and selling costs overall for the full-year, and my sense is that this should definitely be up year-on-year in absolute terms because of this course correction, but can you just confirm that that’s the right way to think about it on a full-year basis, not necessarily quarter-to-quarter.
Anthony DiSilvestro: Yes. Denise was referring to our total marketing so advertising, consumer and trade spending, not the selling and marketing line on the P&L and trying to keep it around 24% to 25% of their sales. I wouldn’t expect any significant changes in those percentages year-on-year or ‘15 versus ’14. Maybe some slight changes within them, but nothing significant.
Operator: Our next question comes from the line of Jason English with Goldman Sachs. Your line is open.
Jason English - Goldman Sachs: I want to drill down a little bit more on gross margin, I think, at least for me that was the biggest surprise in the quarter. Can you help us quantify the Plum recall expenses as well as the other supply chain expenses or I would guess the mark-to-market charges that hit you this year. Then bigger question thinking forward into next year, you are guiding for inflation to modestly outstrip productivity, as I think now it was getting at net pricing at our promotions has been eroding into the new fiscal year, and you had this mix issue within your P&L presumably as soup sales lag and some of your lower margin or faster growth piece of the portfolio becoming a bigger piece. So in context to all that, how are we comfortable gross margins being flat in fiscal ’15.
Anthony DiSilvestro: Okay, I can address that because with any planning cycles there are certainly puts and takes. In this year, we had the Plum recall that was worth $16 million as we’ve discussed. In the four quarters, we had this issue around losses on open commodity contracts, both of those are going to turn and go the other way in 2015, but there has been some one-offs or takes in 2015, as well. Most of that Plum recall wrap is going to be offset by unfavorable currency movement at the transaction level. So, imports into both Canada and Australia are adversely impacted by the weakening of those currencies. So there are a number of pluses and minuses that kind of net out with the exception of the incentive compensation headwind and we’ve talked about that that’s $45 million. A good portion of that $45 million is going to be offset by the benefit of our restructuring programs. We had three quarters this year, where we’ve announced restructuring initiatives, combined when we fully implement those it’s worth 65 million, we won’t get all that in F ‘15, but we’ll get a good portion of that. So we’re trying to mitigate that impact, and again we have a number of puts and takes and they kind of all balance out with the exception of that one big one.
Jason English - Goldman Sachs: Okay, that’s helpful. Switching gears, Denise to you on M&A, you’ve kind of hinted that maybe M&A is on the cards, but you put out this $10 billion sales bogey in five years, and even given your credits for pretty healthy acceleration to your underlying portfolio. You’re going to come easily $1 billion plus short of that without M&N. So A, is that the right way to think about it, and then B, as we contemplate up to 1 billion or more of acquired sales: next five years, how do we think about your prioritization in terms of buying businesses that accelerate long-term growth to your portfolio versus buying businesses that can have a meaningful impact on both the top and bottom line right out of the gates.
Denise Morrison: Well, we continue to evaluate M&A targets that are a good strategic fit, but we have a very disciplined approach. So I don’t want to take away the [b’s] that we’re going to be reckless about this. We definitely have been looking at specific targets, but we’ve walked away from more than we made. So the prioritization will be about the places that we’ve picked being the global baking and snacking area, the packaged fresh area, health and wellness in North America. Those are the three areas that we believe that they are faster growing spaces for us based on the strategy that we’ve laid out. And we do have the financial flexibility to make a meaningful acquisition, but like I said, we are being very disciplined about it.
Anthony DiSilvestro: If I could just add to that, I mean certainly M&A, can play a role as you’ve seen us deal with Bolthouse and Plum and Kelsen in terms of improving our growth profile and we’ll continue to look for opportunities to do that. But we also recognize that in terms of value creation the best thing we can do is improve the performance of our base business. And Denise has talked about the dual mandate, we are focused on expanding in the higher growth spaces with innovation and packaged fresh and availability in the international business that we do own. So it’s a combination of improving the base and expanding through M&A that will get us to that $10 billion target.
Jason English - Goldman Sachs: Got it. Thanks a lot guys, I’ll pass it on.
Denise Morrison: I know we are at the hour , but we’ll keep going because we still have a few people in the queue.
Operator: Our next question comes from the line of Diane Geissler with CLSA. Your line is open.
Diane Geissler - CLSA: I wanted to ask about Denise’s comments about four pillars to accelerate growth in particular, the move in to some non-traditional channels, and I am particularly interested in, promo spending has been pretty inefficient, most of your peers have said the same and you even commented about (inaudible) not shopping the way their parents do. So I guess my question’s really, as promo hasn’t really produced the volume lift can you first of all quantify what percentage of your sales is coming from these alternative channels and then can you talk a little bit about how you will go about getting into say C- stores or clubs, or maybe you could just give us a few more details on kind of what’s behind that comment, and then obviously those channels are pretty competitive. So if you could just explain that up a little bit. I would be very interested in hearing that thank you.
Denise Morrison: Well, we have a majority of our business still concentrated largely in grocery and mass merchandiser which gives us lots of opportunity for expansion in other channels, and we believe that we need to make a concerted effort to do so. We have expanded our sales presence and our programming across multiple channels and we are also paying attention to the e-commerce space with many of our large customers and so we are doing a better job in terms of tailoring programs in some of these new spaces. So we’re not highly efficient right out of the gate, but we are learning and getting better at it. I think most of the promotional situations that we have though this year was more in our traditional channels, and we were working more with frequency and less depths and in some categories like baked snacks and soup that didn’t work as well as we expected it to. So we are of course correcting.
Anthony DiSilvestro: We have a very significant initiative against the immediate consumption channels that we’ve talked about as we develop our own router to market network. At this point we have over 100 new distributors signed up. That transition is largely complete, we’ve got over hundred thousand doors in terms of coverage and we expect to see some growth coming from this initiative, probably by the second-quarter of fiscal ’15.
Denise Morrison: And the original focus on that is beverage from both V8 and Bolthouse Farms.
Diane Geissler - CLSA: Okay, thank you for the additional color.
Denise Morrison: Yes, and I think our estimate routing that channels Diane is about 10% somewhere in there.
Operator: Our next question comes from the line of David Driscoll with Citi. Your line is open.
David Driscoll - Citi: Thanks for taking the question, I see the hour show. I’ll be direct here, I wanted to just talk a little bit about the gross margins. When I look really big picture at Campbell’s Soup in more than 10 years of data, Denise, we haven’t seen a gross margin like this. I mean 35.4%, it’s remarkable in respect to what Campbell has produced for so many years. I also believe that at the beginning of the year you guys thought that the gross margin would actually be kind of flattish on the year end and it was down 190 basis points. So there are a lot of things that have really happened that I think were not easily predictable by the team. The point in the question is, can adjust discuss why gross margins wouldn’t have significant risk to the downside ongoing for the very same factors that kind of drove the F ‘14 numbers. And is it simply all about this 65 million in savings, is that the lifeline that we are hoping that really stabilizes gross margins, thank you.
Anthony DiSilvestro: Guess I think the first is we certainly acknowledge what has happened to our gross margin over the last couple of years, and the principal driver of that has been an increase in trade rates, and it has to do with the environment, it has to do with a couple of a businesses, namely US soup in Australia and more recently in Pepperidge Farm. And I think the difference, and certainly it is a challenging goal, we acknowledge that. But we also acknowledge in order for us to hit our financial targets, we need to do a better job at managing this trade rate closer to flat. We have plans to that in 2015 with a combination of changes promote price points that something that we didn’t have coming into this year, so that has a direct and immediate impact on the amount of trade. We have adjustment to the frequency and around specific promotional events continuing to learn in terms of what programs are more productive versus less productive, and that to reallocate within the portfolio. I think most of the challenge in Australia is fully behind us, we have specific plans to address the issue of late within Pepperidge Farm. So as we look across the portfolio, and again, its going to very by category, but we are looking to hold the trade rate relatively flat, and it is a challenge but that’s our plan and what we are trying to do in 2015, because we know how critical it is to the gross margin to get this trade rate back to flattish.
David Driscoll - Citi: I mean to state the obvious, it’s unsettling to see these gross margins do what they are doing and then to have confidence in the model. Certainly ‘15 will be critical. Can you describe or quantify the size of the commodity impacts for the open hedge position that it took in the fourth quarter. If I’m correct, that’s a reversible item. So what will happen is as you actually recognize those the actual transactions through F‘15. What was the headwind in the fourth quarter will become a tailwind within the operating segments as the course of ‘15 plays through and the hedges are used up.
Anthony DiSilvestro: Yes, somebody studied hedge accounting, it’s about $10 million.
David Driscoll - Citi: It’s 10 million bucks, and then I would go back to Eric’s question just to speed it. I think I want to state it simply, the $45 million of incentive comp that you built back into the plan, I think what Eric was getting at is, kind of why does all 45 million get back into the budget for the year when the expectation is that the company will not achieved its long-term targets. I mean it’s in simple form, and he doesn’t mean to come across that harsh. I mean Denise, may be the right answer is, you just have to pay the team in order to keep the team. I think we all just kind of want to understand the philosophy on the 45 million and what it takes to maintain the excitement of the people running the business.
Anthony DiSilvestro: Let me jump in first here and then Denise can come at it if she’d like. Thanks for the second attempt here at an answer. Think about it as two parts, again there is an annual incentive plan which kind of resets each year and then there is long term targets that will increase year-on-year, but do not get back to 100% pay out. So, the annual incentive goes back to target, the long terms ones will go up next year, but they don’t go anywhere near a 100%, if they are set against our long term sales and EPS targets.
Denise Morrison: We definitely have pay for performance compensation system, and with sales goals that are higher than our guidance. I think we have time for one more question.
Operator: Our final question comes from the line of Todd Duvick with Wells Fargo. Your line is open.
Todd Duvick - Wells Fargo: Very simply on the balance sheet, you had $700 million of debt that matured in August, and I think you had capacity to refinance that with commercial paper, and I guess my question is really two-fold. First of all, would you look to refinance a portion of that in the debt capital markets to term out a portion of your floating rate debt, and in terms of capital allocation priorities, do you continue to be focused somewhat on debt reduction for FY ’15.
Anthony DiSilvestro: I can take that. In F’14 we had $700 million of long term debt maturing. We also had cash flow that enabled us to reduce our total debt levels by $300 million to $400 million. So one of them has been just paid off with cash from operations, and the other as you pointed out, refinance with commercial paper. As you know, we have pretty access to capital markets, so we are continuing to evaluate opportunities to come to market. We don’t have a specific plan to share with you today on that, but again we are looking at that pretty closely. In terms of capital allocation priorities, not much has changed there. Obviously our first priority is to fund our ongoing business, the second would be dividends, third, M&A and the last would be share repurchases. What’s changing in F’15 is that we are going resume in a modest fashion a return to share repurchases, get a little bit of EPS benefit in F’15, but that would be the only change for us going forward.
Jennifer Driscoll: Thanks, and thanks everybody for hanging on a little extra time there. We appreciate you for joining us on our fourth quarter earnings call and webcast. If you missed any of our calls, the replay will be available about two hours after our call concludes, simply dial 7039252533, the replay access code is 164 2451. You have until September 22 at midnight at which point we move our earnings call to the website at investor.campbellsoupcompany.com just click on news and events then recent webcast and presentation. If you are a reporter and have questions, please call Carla Burigatto, Director of External Communications, at 856-342-3737. Investors and analysts should call me, Jennifer Driscoll, no catchy number just 856-342-6081. This concludes today's program. You may now disconnect.